Operator: Good evening, welcome to Webull Corporation Class A Ordinary Shares' Third Quarter 2025 Conference Call. All participants will be in a listen-only mode. Please note this event is being recorded. I would now like to turn the conference over to Carlos Questell, Webull Corporation Class A Ordinary Shares' Head of Investor Relations. Please go ahead.
Carlos Questell: Good morning, good afternoon, and good evening everyone. Welcome to Webull Corporation Class A Ordinary Shares' third quarter 2025 conference call. Earlier today, we issued a press release detailing our third quarter financial results. A copy of the release can be found on our IR website at webullcorp.com under the Investor Relations tab. Please note that this call is being recorded and will be available for replay via our IR website. During the call, we will be making forward-looking statements about the company's performance and business outlook. These statements are based on how we see things today and contain elements of uncertainty. For additional information concerning the factors that can cause actual results to differ materially, please refer to the cautionary statement and risk factors contained in our filings with the Securities and Exchange Commission and press release, both of which can be accessed via our website. The presentation will include a discussion on adjusted operating expenses, adjusted operating profit, and adjusted net income, all non-GAAP financial measures. Reconciliation of these non-GAAP financial measures to their most directly comparative GAAP measures are included in the press release that we issued today. It's important to note that although we believe that these non-GAAP measures provide useful information about our operating results, they should not be considered in isolation or construed as an alternative to their directly comparative GAAP measures. Furthermore, other companies may calculate similarly titled measures differently, limiting their usefulness as comparative measures to our data. We encourage investors and others to review our financial information in its entirety and not rely on a single financial measure. With me today is our Group President and U.S. CEO, Anthony Michael Denier, and our Group CFO, H. C. Wang. We will begin with prepared remarks and then take questions at the end. With that, I would like to turn it over to Anthony.
Anthony Michael Denier: Thank you, Carlos, and hello, everyone. Thanks for joining us today. Webull Corporation Class A Ordinary Shares' third quarter results demonstrate continued momentum and growth in what remains a highly favorable market environment for our business. Our Q3 results reflect this environment, but also our global team's continued ability to achieve our goals, drove strong results across almost every metric. Strong corporate earnings, interest rate reductions, and rallies in technology and AI stocks have driven robust market conditions with the S&P maintaining near record levels throughout the quarter. This backdrop, combined with our ongoing technological innovation, product expansion, and increased access across geographies, continues to create significant opportunities for our customers worldwide. Webull Corporation Class A Ordinary Shares is exceptionally well positioned to continue to capitalize on the global consumer shift towards mobile-first trading. We are executing well against this favorable backdrop. This quarter marks significant milestones in product diversification and geographic expansion as we continue to see high growth across our platform. On the heels of our public listing, we successfully reintroduced crypto back to the Webull app and expanded our offerings in the space to include crypto futures trading. We also introduced sports prediction markets through our partnership with Kalshi and are on track to achieve a major international milestone as Webull Canada will soon become the first non-U.S. brokerage in our group to reach $1 billion in assets under management. Just last week, we launched Vega, the latest evolution of our AI-powered decision-making partner, which will enhance the investor experience by providing personalized insights and analysis to inform trading decisions for our users. These offerings are already leading to meaningful ROI. We are seeing strong adoption among both new and existing customers as the platform successfully reengages dormant accounts through compelling new products. During the quarter, we brought crypto trading back to the Webull platform and brought Webull Pay back into our group, which added $1.2 billion in 140,000 funded accounts. Now over 50% of new funded accounts are trading crypto. We will continue to meet investors where they are and increase our share of wallet by introducing them to our expanded products and solutions over time. Our differentiated offerings, including direct deposit enablement and the launch of corporate bonds, continue to set Webull Corporation Class A Ordinary Shares apart from competitors. With each new product, we continue to strive to be the one-stop platform for traders looking to get the most personalized and agile investment opportunities on the market. I am proud of the Webull Corporation Class A Ordinary Shares team for the innovation and execution they have shown in reaching these milestones. We have reached another important milestone in our journey as a public company with the expiration of all shareholder lockup restrictions on October 8, which significantly increased our public float, further enhancing our market liquidity. With that, let me now walk you through the key highlights from the quarter in more detail. Here on Slide two, I'll walk you through our third quarter highlights. We delivered another strong quarter for Webull Corporation Class A Ordinary Shares shareholders. With the year-over-year revenue growth significantly outpacing increasing operating expenses, driving solid margin expansion for another quarter. We recorded top-line revenue of $156.9 million, representing 55% growth year over year driven by four key factors. First, customer assets reached an all-time high of $21.2 billion, inclusive of the $1.2 billion in assets from the acquisition of Webull Pay, marking the third consecutive quarter of AUM growth. Second, equity trading volume surged for the third straight quarter, up 71% year over year. Third, our on-time delivery of new product offerings, including crypto futures and prediction markets, enhanced stickiness and new user growth. Fourth, we continue to broaden access to our leading platform across new and varied geographies. We recorded adjusted operating expenses for the quarter of $120 million, representing a year-over-year increase of just 13%. Our increase in expenses was mainly driven by increased brokerage and transaction expenses, reflecting higher trading volume as well as higher general and administrative expenses driven by increased compensation and bonus accruals reflecting headcount growth and stronger than expected performance. The increase in G&A expenses was partially offset by a lower marketing spend. Lastly, we delivered a fourth straight quarter of operating profitability with a strong 28.7% increase in adjusted operating margin on a year-over-year basis to 23.4%, representing adjusted operating profit of $36.7 million for the third quarter. We continue to focus on execution and margin expansion, reflecting our commitment to delivering sustainable growth and value for our shareholders. Turning now to Slide three and our 2025 roadmap. We continue to enhance our existing product offering while executing against the ambitious roadmap we outlined in Q2 to support our growing customer base and expand market share through new offerings and geographies. We are particularly excited about the launch of Vega. Vega is an AI tool that combines news, earnings, and technical data to deliver a focused, intuitive experience that helps both new and seasoned investors navigate modern trading and make smarter decisions. Other key features of Vega include statistical insights, options trading that showcase investment opportunities, and voice commands for placing trades as we continue to enable accessibility on our platform. As we continue to broaden our offerings to solidify our position as a one-stop investment platform for retail and sophisticated investors, Vega will play a crucial role in enabling further consolidation as investors gain powerful insights across their portfolio of equities, bonds, crypto, and more. Webull Premium, our subscription-based service for active traders and long-term investors, has now reached 90,000 subscribers, a 20% increase from just last quarter and is tracking well ahead of our internal target of 100,000 subscribers by year-end. Our premium offerings have been further bolstered by the introduction of corporate bonds during Q3. Corporate bonds provide customers with low-risk investment opportunities and steady yields while also facilitating asset transfers from traditional brokerages, positioning Webull Corporation Class A Ordinary Shares as the one-stop platform for sophisticated investors. I am excited to discuss the launch of prediction markets. Through our partnership with Kalshi, we have introduced sports prediction markets covering NFL, NBA, NASCAR, F1, and college football events. This offering provides an engaging and accessible trading experience that lowers barriers to entry. Results have been exceptional. More than 30 million prediction contracts were placed in October, nearly twice as many as were placed in September, over half of which were sports contracts. As I stated previously, the return of crypto to our platform has delivered instant results and has become a significant driver of funded account growth. While we currently offer crypto trading to our customers in the U.S., Brazil, and Australia, we will continue expanding crypto offerings across geographies and are actively exploring digital asset licenses in numerous other markets. Finally, our expansion of products available internationally continues to progress. During the quarter, we launched our Webull platform in the EU, beginning in The Netherlands, and anticipate launching in additional European markets over the coming months. We also entered into a strategic partnership with Merits Financial Group to offer U.S. market access to Merits customers in South Korea. In addition, Level three options trading is now live in Singapore and Hong Kong and is set to launch in Japan imminently. We are excited to continue to scale and reach even more global customers as our product offerings continue to grow. We have now over 700,000 funded accounts outside the U.S., and we continue to prioritize delivering U.S. products to international markets and building diversified revenue streams globally. On Slide four, I'll discuss our growth in both users and funded accounts. During the third quarter, we added roughly 1 million registered users, bringing the platform to a total of 25.9 million registered users, a more than 3 million increase from the third quarter of last year, representing a 17% increase. Importantly, that 1 million increase also represents a large sequential increase, showcasing that our product and geographic expansion is driving robust user growth. Webull Corporation Class A Ordinary Shares was originally launched as a global market data platform before evolving to become the leading digital investment platform we are today. As a result, we have a significant number of registered users in geographies where our trading platform is not yet available. We are committed to offering access to best-in-class market data and information to everyone, whether or not they currently have a brokerage account with us. On the right side of the slide, you can see funded account metrics. Funded accounts, defined as accounts where customers have made an initial deposit that has remained above zero for forty-five consecutive calendar days as of the record date, showed healthy growth. We added approximately 200,000 new funded accounts this quarter, inclusive of accounts onboarded through our acquisition of Webull Pay, bringing the total number of funded accounts to 4.93 million, a 9% year-over-year increase. As we continue to innovate and enhance our offering, I am also happy to report that our quarterly retention rate remained high and grew slightly on a sequential basis to 97.7%. Turning to Slide five, as I previously mentioned, Webull Corporation Class A Ordinary Shares customer assets reached an all-time high of $21.2 billion, inclusive of $1.2 billion in assets from the acquisition of Webull Pay, representing an 84% increase on a year-over-year basis and a $5.3 billion sequential increase. The growth in customer assets reflects strong momentum driven by favorable market dynamics and robust deposit activity. Our customers deposited over $2.1 billion during the quarter, a 31% increase year over year, bringing our cumulative net deposits over the last twelve months to $5.9 billion. On Slide six, I'll provide an overview of trading volumes for the quarter. While we are always looking to expand and enhance our product offerings, growth in our core products also continues to accelerate. Our equity volume increased by 71% on a year-over-year basis and 26.7% sequentially, totaling $24 billion. Our options contract volume was 147 million in the third quarter. The associated revenue continues to outpace contract volume growth after implementing a new pricing model in the second half of last year. We are pleased to see the continued results of that initiative with a steady increase in the monetization of our options business. We are now midway through Q4 and are on pace for further growth. October was our best month ever in terms of customer deposits, trading volumes, and revenues. Our new products are driving increases in market share and the consolidation of users' portfolios onto the Webull app. With that, I'll pass the call over to H. C. Wang for a closer look at our financial results for the quarter.
H. C. Wang: Thank you, Anthony, and thanks to everyone for joining us today. Slide seven shows that in the third quarter, Webull Corporation Class A Ordinary Shares generated revenue of $156.9 million, up 55% year over year. Adjusted operating expenses for the quarter came in at $120.2 million, an increase of 13% from a year ago. We continue to take a disciplined approach to balancing execution costs and operating efficiency as we continue to scale the business. We are pleased with our continued margin expansion and profitability. On the following slides, I will walk through the components of revenues and expenses in more detail. Now turning to Slide eight, on our profitability performance. As Anthony mentioned earlier, Webull Corporation Class A Ordinary Shares has now recorded its fourth consecutive quarter of operating profitability. In Q3, adjusted operating profit reached $36.7 million, our most profitable quarter ever, representing a 28.7% improvement in adjusted operating profit margin year over year. Adjusted net income for the quarter was $32.9 million, up RMB38.6 million year over year. Adjusted net profit margin improved 26.5% year over year, reaching 20.9% of revenue. Turning to Slide nine. Our trading-related revenues continue to accelerate, supported by higher trading volumes across all asset classes and improved monetization, particularly in options. Momentum from the second quarter carried through to Q3, with daily average revenue trade increasing 56% year over year, driving a 64% rise in trading-related revenues. On a per trade basis, revenue increased to $1.53. Turning to Slide 10, our interest-related income. This category includes interest earned on client and corporate cash as well as revenues from margin financing and stock lending activities. In the third quarter, interest-related income grew 32% year over year to RMB43.4 million, driven by higher interest-earning balances across all categories: corporate cash, client cash, margin lending, and fully paid stock lending, reflecting the continued growth of our client assets. Finally, let's turn to Slide 11 for a closer look at operating expenses. As a high-growth business with meaningful operating leverage, we expect operating expenses to increase as we scale, but at a much slower pace compared to revenue growth. In the third quarter, operating expenses grew 13% year over year, primarily due to higher brokerage and transaction costs associated with rapid growth in trading volumes and product expansion. General and administrative expenses also increased, reflecting headcount growth and higher bonus accruals tied to stronger than expected performance. These increases were partially offset by lower marketing spend as we continue to optimize our marketing and branding strategy. We remain committed to maintaining expense discipline while continuing to invest strategically in innovation, customer acquisition, and wallet share expansion to capture sustainable long-term growth opportunities. Now thank you everyone. With that, I will turn the call back to Anthony before we open the line for questions.
Anthony Michael Denier: Thanks, H. C. This was a record quarter for Webull Corporation Class A Ordinary Shares on many metrics, including revenue and funded account growth, marking an exciting new chapter for our platform as we successfully unveiled innovative product offerings, including crypto futures, sports prediction markets, and our AI-powered decision partner Vega. We remain energized as we continue to deliver our product roadmap for U.S. and global investors. I want to recognize the global Webull Corporation Class A Ordinary Shares team for their continued dedication as we continue to grow our platform following our public listing in early 2025. We look forward to engaging with you at several upcoming industry and investor conferences. On that note, we welcome any questions you may have either here on the call or one-on-one.
Operator: Thank you. We will now begin the question and answer session. Your first question today will come from Kareem Saif with Bank of America Securities. Please go ahead.
Kareem Saif: Everyone. Can you hear me okay?
Anthony Michael Denier: Loud and clear.
Kareem Saif: Perfect. Okay. Well, congrats on a great quarter. My first question is on prediction markets. It was very nice to see you guys added sports contracts to the offering. So Anthony, was wondering if you maybe like help size the revenue opportunity for Webull Corporation Class A Ordinary Shares from the prediction markets offering as well as like maybe share some of the any of the economics that you have with Kalshi?
Anthony Michael Denier: Sure. Happy to, Kareem. So yes. So many people do not know this, but we have been partnering with Kalshi since the very beginning of the year. We just recently got into the sports prediction markets, at the beginning of the NFL season. Late August, I believe, for Thursday night football. And the prediction market pre-sports has seen some really nice growth as we did, like, SPY hourlies, NBX hourlies, some major Fed events. But the sports numbers have been completely blowing us away, right? And we have all seen the headlines how much growth we have seen from Kalshi and Polymarket on a notional value. We are seeing that lockstep. And the value of offering these sports predictive contracts are multifold the way I look at it. Right? We announced 30 million contracts in October. You know, we are already now halfway into Q4 on the November 20. And that number is completely gone. We are blowing that number away already in November. Right? And I would not be surprised if we see a month-on-month growth at over 100% on a pretty consistent level. Now the opportunity from a monetary standpoint is different with every partner that Kalshi has. So we do charge a $0.01 commission to our clients that are trading per contract. And we also get an exchange rebate from Kalshi. And the blended rate comes in anywhere between 1.25 to 1.5¢ per contract. On the revenue side. That being said, I do not think it is merely a revenue catalyst for our business. These sports prediction markets are reengaging dormant accounts right? And it is also addressing a completely new TAM of customer. And so you know, if we have customers that have come on the platform in 2021 during GameStop, the world opened up. They got quiet, right? Life got in the way, and they were not actively trading. Now they are back because of these sports prediction markets in a big way. And it is a great way to reengage customers that have gone dormant. It is a great way to address a whole new addressable market of clients. So very exciting time for our industry. And I do think prediction markets are going to be something that is going to continue to push us not only on new to customer acquisition, but product expansion.
Kareem Saif: Got it. That was very helpful. Thank you very much. And then for my follow-up, so obviously, it was very nice to see, I believe you called it in your prepared remarks, net deposits in October were very strong. The best I believe, the best months for Webull Corporation Class A Ordinary Shares. But when I look at net deposits in 3Q, very strong also at $2.1 billion which I believe like when I look at it as a percentage of your AUA or AUC, it is like almost 53% annualized. So I was wondering if you could maybe like help unpack that a little bit for us, where are you seeing that strength coming from? If you could maybe unpack it by geography, that would be very helpful.
Anthony Michael Denier: Absolutely. So one of the great advantages we have versus a lot of our peers is the fact that we are truly a global platform. We have 14 broker-dealers that are currently operating around the world. The U.S. is the largest and the oldest but we just opened up in The Netherlands in September. Went live in 2025 and we continue to look to expand. That expansion and us taking significant market share not only in The U.S. but outside The U.S. is one of the great drivers for that AUM growth, right. So we took in $2.1 billion of net deposits in Q3 alone. That is not including the acquisition of Webull Pay and the money we received as part of the AUM in that acquisition. And I would put it on two different catalysts for that impressive net new money coming in. One is the evolution of our marketing style. So we have been evolving our marketing over time and we have seen a lot of success and great ROI on our incentive transfer programs. So offering like sticky money to rollover 401(k)s into Webull Corporation Class A Ordinary Shares, where we are offering matching deposits, extremely successful in bringing new AUM into the platform and then back to the geographic expansion. We are seeing huge growth in markets like Canada that we did not announce about to cross $1 billion in AUM alone in that market. That is only call it, twenty months old at this point. We have other locations that we are seeing huge amounts of growth like Australia, of all places, Thailand, is growing in the it's doubling on a quarter-over-quarter basis in terms of what we are seeing in transaction. And that is a recurring theme that we are seeing outside of The U.S. As The U.S. As we start expanding on U.S. Products outside to the non-U.S. Entities, we are seeing the customer demand for increase for U.S. Products really push new customer acquisition and new AUM coming into the platform.
Kareem Saif: Got it. That was very helpful. Thank you so much for taking my questions. I'll hop back in the queue.
Operator: The next question will come from Steven Chubak with Wolfe Research. Please go ahead.
Steven Chubak: Hi, good afternoon and thanks for taking my questions. Wanted to hey. I hope you guys are well. So I wanted to ask, a two a multiparter just on expenses and margins. So we really good expense discipline in the quarter. Total revenues were up 55%, adjusted expense up 13%. So impressive incremental margin just north of 75%. I wanted to understand the sustainability of those incremental margins, just given myriad opportunities to lean in on the investment side? And then for the second part, given the comments you just made, Anthony, around the marketing strategy, why not choose to lean in a little bit more in terms of marketing spend just given the strong momentum in 3Q in October? I recognize the high ROI is that was the one bucket that actually saw declines year on year. I wanted to better understand how you're thinking about the opportunity to lean in there as well.
Anthony Michael Denier: Sure. Happy pick that up. So when we look at, when we look at our customers being able to transfer assets in, we are constantly in improving on the product and the rails for them to do so easily. And when we think of margin expansion, we are very cognizant that we are in an extreme growth phase of our business. So right where we are now in the mid kind of 20s, of margin, think is extremely healthy for a growth company. And we are going to continue to deliver on that. I can hand it over to H. C. for a little more detail on the actual margin and the expenses side.
H. C. Wang: Sure. Thanks, Anthony, and thank you for the question. Yes. So for us, as you can see that we have consistently maintained our adjusted operating margin around 20% for the last four quarters. And so we are constantly optimizing and adjusting how we are approaching expenses, for example, marketing. I think you asked about why not overinvest in marketing when the market is good. I think in a certain sense, we are very opportunistic. We actually do a lot of work and review on a market-by-market basis to see where we get the highest ROIs in terms of our marketing dollars. But we also want to be smart about investing in forms of the forms of different promotions that we take. And so we have over time shifted more from giving away free stocks to customers to more of these like asset matching promotions. And as a result of that, we are seeing significant increases in net deposits in AUM growth. Another result of that is there is a greater amortization of marketing expenses. So it's not just given away immediately when the customer fund their accounts. The customer would have to deposit AUM and maintain their AUM for a number of months before they accrue and earn the whole marketing spend. So actually that helps us in managing expenses to make the marketing expense more predictable quarter over quarter. Which I think is a good thing in terms of managing the P and L. And also for the for the G and A expense, I think a lot of it is just proportionate to our headcount growth and to our continued investment in in R and D as we continue to enter into new geographies and expand products. So we'll continue to remain disciplined and and manage our expenses to make sure that we continue on the right path of margin expansion. And continue to capitalize on this market environment and and continue to drive growth.
Steven Chubak: That's great color. And for my follow-up, I did want to ask, given the relaunch of crypto in The U.S, how your crypto strategy might evolve now that you're getting that second at that and specifically wanted to better understand where the crypto pricing is today? Do you see an to potentially be more aggressive in terms of take rates to attract more users? And how you see that pricing evolving over time as competition intensifies in the space?
Anthony Michael Denier: Yeah. No. I appreciate that question. Extremely excited about the relaunch of crypto, and and appreciate you mentioning it's kind of our second at bat. We obviously we had crypto when we launched crypto back in 2019, through the process of trying to get our company listed. Previous administration, we spun it out to Webull Pay. We brought We brought that crypto back to the brokerage platform, the main brokerage platform. Back in August, kind of like a light speed project, if you will. And so I look at it exactly like that. This is our second opportunity to really knock it out of the park. What does that mean for us? Right? So we are still in the early innings of crypto. At least the crypto for our at least crypto offering on our platform I think we lean into the sophisticated fact of our active trading user base. And so right now we have approximately 100 basis points. Coinbase retail is about 150 basis points. I know some of our competitors use a variable model based on the actual token itself for pricing. And we are going to aggressively lean in to squeezing those take rates to attract active crypto traders. Now timeline, on that business is probably going to be early in '26 I have to be careful on guidance. But when I think about it, we have an amazing opportunity to relaunch our crypto product with a whole new vigor that attracts the customers that call Webull Corporation Class A Ordinary Shares home. Sophisticated, experienced and active retail traders. We are to cater our crypto trading products specifically to them as we roll out especially new products in the crypto world. I do not want to give up too much on this call. We'll be announcing a lot of major new additions to our crypto offering. To get us on the same level playing field as all of our competitors. Once we are on that playing field, we're going to aggressively take those active traders from our comps.
Steven Chubak: That's great color. Thanks so much for taking my questions.
Operator: The next question will come from Michael John Grondahl with Northland Securities. Please go ahead.
Michael John Grondahl: Hey, thanks guys. Anthony, can you talk a little bit about the Merits announcement and kind of the opportunity you have there globally? And is Merits the first? Do you have other customers internationally you're helping like that?
Anthony Michael Denier: So Merits is the first publicly announced but not the first. And when we say Merits, we're talking about institutional customer bases or B2B business. Which is a completely new line of business for us. We have been 100% focused on retail since we launched in 2018. Now we're spending a significant amount of internal resources and a significant amount of focus on targeting B2B partnerships in geographies where we don't currently operate a broker-dealer. We're even talking to B and D partnerships to institutional type partners in places where we actually do have retail. A retail platform. Having said that, none of this revenue is yet even factored in to our current models and our current growth. And so the future, so Merits is an example of getting access to South Korean retail without having to have a South Korean retail brokerage license. We're going to continue to focus on opportunities like that. And in my opinion, the institutional side of our business, which is just beginning, Merits is the first announcement on a very long list of clients that are in the pipeline. That's going to be a huge boom. Not only for our market share, but for our top and bottom lines.
Michael John Grondahl: And when would you expect Merits to go live? Has it started? What is that timeline look like to ramp up?
Anthony Michael Denier: So typically institutional onboarding takes much longer than retail onboarding. Right? We can we can open up a retail account in minutes and our retail customers can typically trade within five minutes of downloading the app. It's very different for institutional. There is a lot more checks. There is a lot more approvals, sometimes even up at the board level. That being said, we are currently live with Merits. We are currently trading on behalf of their clients' orders. And as we continue to grow the relationships that the amount of flow that we receive from Merits will continue to grow over time.
Michael John Grondahl: Got it. And then just lastly related to that, where will that revenue show up? Is that other revenues or in the equity and options line?
Anthony Michael Denier: So, this is actually one of the fun parts. So the revenues actually show up in our transaction volumes. So even if we see a slowdown in U.S. Retail, trading volumes. Our trading volumes will continue to tick up because we're onboarding a lot of these B2B relationships. So it's going to be baked into the transaction revenue mixed in the equities and hopefully in the next several months options. Currently, we're trading equities only with Merits.
Michael John Grondahl: Got it. Hey, thank you and good luck.
Operator: Next question will come from Christopher Charles Brendler with Rosenblatt. Please go ahead.
Christopher Charles Brendler: Hey, thanks. Good evening and congratulations on the strong results here. I'd like to ask about the funded accounts, which ticked up. I know even if you back out the crypto, you did see a nice tick up there. I know there's been a little bit of a refocus of your marketing strategy towards assets over accounts, but given the gap between registered and funding, I'd love to see that close a little bit. So how are you thinking about funded account growth as you head into 2026? Thanks.
Anthony Michael Denier: Sure. Hey, Chris. Well, funded account growth in my opinion, we're going to see so so we're going to start seeing a lot more attribution coming from outside of The U.S. Like we mentioned on the call earlier, we have more than 700,000 funded accounts now that are outside The U.S. And we've seen the momentum in onboarding of funded accounts outside of The U.S. Basically for the last six months, it was about 55%, 50 Right? 55% of new funded accounts coming from The U.S, broker. About 45% coming from outside. That number is now completely equalizing. And we're at about fifty-fifty. And in fact, wouldn't be surprised if we start seeing new funded account growth outpace new fund outside of The U.S, outpace funded account growth in The U.S. I believe that's going to be the continued driver as the 13 broker-dealers that we operate outside The U.S. Start to really mature. If you remember, the first brokerage outside of The U.S. We opened was Hong Kong in 2021. The second one wasn't until 2022, which is Singapore. We just opened our latest one in The Netherlands in September '25. So these are all relatively young businesses that are in hyperscale mode. And so we're gonna see a lot of low cost, low customer acquisition costs, new funded accounts really being driven from outside The U.S. And in The U.S, we're going to continue to focus on quality of our customers.
Christopher Charles Brendler: That's super helpful color. Thanks so much for that. I wanted to add a quick follow-up on numbers. Does crypto or prediction markets have any impact on third quarter metrics like DARTs or trading revenues? And will those kind of transactions show up in those metrics in the fourth quarter?
H. C. Wang: Yes, sure. So we actually closed the Webull Pay transaction at the very end of the third quarter. So what the third quarter metrics include is the AUM and funded accounts that we that were consolidated. As part of the transaction. What's not included is the revenues, the transaction volumes and the DARTs because those those take place over the course of the quarter. But the transaction did not close until the very end. But they will start to be included and presented as part of the consolidated group results starting in Q4.
Christopher Charles Brendler: Okay, great. That's helpful. And then I just have one more quick one. Which is on Vega, It seems like this is a a product that would help attract folks here platform and potentially stay there longer? Any insights on the initial impact of Vega? And on the expense side, is it an there's an ongoing expense from running this AI that you're outsourcing or is it all developed in house there won't be much additional expense?
Anthony Michael Denier: Yes. So the Vega AI launch is not only not only a huge thing for Webull Corporation Class A Ordinary Shares. This is the future of investing. Right? There is so much news flow, so much information at all investors' fingertips. Often it's like drinking out of a fire hose. Now we have created in house, to answer that question, in house we've created our Vega AI trading assistant, not only analyzes your portfolio, but can advise you on high levels of risk and give you insights into implied volatility in some of your options positions. Right? This is a game changer for the industry. And so because we developed it all in house, there is no increased cost and the user engagement has been phenomenal. We're seeing tens of millions of engagements of Vega. Whether it's for actionable trading through the Vega AI trade assistant, or just analysis of earnings or consolidation of news. And every day, we're seeing more and more engagements we're seeing regular engagements. Meaning, we're seeing users come back to Vega regularly. And I believe that this is now the beginning of a whole new way that retail engages their own portfolio and accesses market information market opportunity.
Christopher Charles Brendler: Well, that's great. I obviously need to try it out. Thanks so much.
Operator: The next question will come from Brian Vieten with Seiberg. Please go ahead.
Brian Vieten: Great. Thanks guys. Anthony, so nice pickup in funded accounts this quarter. I think you said 50% of new accounts. Are trading crypto. Does that include the Webull Pay folks? And then looking ahead, could you speak to the opportunity in converting existing Webull funded accounts? I'm just curious on that as I know your customer demographic is younger and digitally native. Thanks.
Anthony Michael Denier: Yes, exactly right. So the average Webull Corporation Class A Ordinary Shares customer is in their young 30s. So very, very crypto native. And you know, it it it really pains me back in September 2023 when we had to strip out our crypto offering from our brokerage platform. Our customers were not happy with it. So bringing it back was imperative. Now that we have it back, and we have the opportunity not only to knock it out of the park with, you know, a better offering of crypto, especially for our customer type. We've been seeing great engagement for crypto native customers either coming back to Webull Corporation Class A Ordinary Shares or discovering Webull Corporation Class A Ordinary Shares for the first time. So like you mentioned, 50% of new funded accounts 50% of them the first trade they made was with cryptocurrency on the Webull Corporation Class A Ordinary Shares platform. Those are not customers coming over from Webull Pay. Those are new customers to Webull Corporation Class A Ordinary Shares in and of itself simply because we now offer crypto. So we're going to continue to lean in to that type of customer. And like I mentioned before, make sure we give the tightest spreads and the best trading experience for the customer that calls us home, and that's the active sophisticated type.
Brian Vieten: Very good. Thank you. And then just one more if I may. Just on the future listings, think at one point the plan was to get to 100 by year end, not sure if maybe there's some it's a little contingent on some of the regulatory dynamics, which you alluded to, but just the complexion of those future listings. Are you envisioning more so listing established crypto protocols or kind of newer tokenized assets where you might be more differentiated? Just any commentary on the listing strategy would be great. Thank you.
Anthony Michael Denier: Yes. So I mean, one of the fundamentals that we've always held here whether it's crypto it's equities, it's options, again, prediction markets. We want to give our customers the availability to trade as much as we possibly can offer. If that means so you mentioned 100 as a number, I do not want to go on record and say we're going to have 100 different, different tokens available to trade by year end. But that certainly is our goal. Having said that, when we look at know, when we look at the opportunity for crypto, it's more than just offering new product types it's offering a better experience to do so. So yes, the short answer is yes. We plan to have as many as many different opportunities and as many different offerings on the platform as we possibly can bring. And we plan to to really lean into making sure our customers feel that this is the best place, Webull Corporation Class A Ordinary Shares is the best place to trade.
Brian Vieten: Thanks, Anthony. Congrats on a great quarter.
Operator: Next question will come from Edward Lee Engel with Compass Point. Please go ahead.
Edward Lee Engel: Hi, everyone. Thanks for taking my question. Appreciate some of the color you gave about funded accounts outside The U.S. Just kind of wanted to get a better sense on maybe some of the localized features that you're offering in some of these markets in kind of where the roadmap is, whether it's tax wrappers or savings accounts, or local banking connectivity? Thanks.
Anthony Michael Denier: Sure. So it really depends on the region. We've always had a single mentality here. We have one global vision but we make sure that we execute locally. What does that mean? It's simply every Webull Corporation Class A Ordinary Shares broker-dealer that we have, 14 around the world, has a local team. It's it's not, you know, it's it's not an American that's sitting in London. You know, we have we have a Brit sitting in London, running the office there. There's a reason for that. Not only did they have a better feel for what that customer needs, they also have a better opportunity for local marketing. How to differentiate. That being said, a lot of those businesses are still relatively young and we're constantly adding new products, things like tax wrappers, for example. IRAs in The U.S. Or ESAs, ISAs, in The UK, I'm thinking UK maybe too much, but as soon as we have the regulatory approval to add those products, we always do. And for the most part, there are two or three exceptions, but for the most part, every Webull Corporation Class A Ordinary Shares entity will trade the local security in that country as well as give customers the ability to trade U.S. Products. The one example I can think of is Indonesia. There is no license yet in Indonesia for our customers, sorry, Indonesian customers to trade U.S. Securities. However, hopefully that'll change by year end. That all being said, we see the majority of transactions happening our non-U.S. Entities the transactions are happening in U.S. Products. And that goes back to things I've been talking about for the last year and change. The exportation of The U.S. Retail trading experience is one of the largest growth factors that I believe we're going to see in the next year, year and a half. Right, especially when it comes to retail out of The U.S. We have seen the adoption of not only obviously ETF trading outside The U.S, but options trading specifically, for example, you know, customer sitting in New York City has a position in NVIDIA yesterday. Coming out with earnings at the close. And we have a customer sitting in Japan Also, with a position in NVIDIA. They're looking at the same news flows. They're listening to the same podcast. They're listening to they're they're watching the same Reddit feeds, they're reading the same comments on the Webull Corporation Class A Ordinary Shares community. Yet, a lot of times, they're not able to trade the same products. We're changing that. Now our customers in in Japan can trade calendar spreads, can put on a Condor. Right? That doesn't exist for the most part outside of The U.S. And we are working very hard to make sure that we export that U.S. Retail investor experience to everywhere outside The U.S. Which is one of the main reasons why we're seeing such amazing growth in our non-U.S. Brokerages.
Edward Lee Engel: Great. Appreciate that color. And then, I mean, I guess, to date, we have seen a bit of volatility in U.S. IVD market. Curious if you're able to provide any color on, I guess, how your users are kind of holding up through some of that? Thanks.
Anthony Michael Denier: Sure. I think uniquely Webull Corporation Class A Ordinary Shares we are extremely well positioned for a rising VIX. Our customers, I mean, we've been offering the ability to short sell since the first day that we launched the platform in 2018. Right? Our customers, again, I keep saying this word sophisticated. I keep saying this word experienced. When there's volatility, our customers are trading more. And so just the past couple of weeks, we've seen explosive volume due to volatility. And I think Webull Corporation Class A Ordinary Shares is probably uniquely positioned to weather volatile markets a lot better than our peers. That of course being said, long-term volatility is never amazing for a cyclical business. But I believe as a platform, we are accelerating into this volatility in the short term.
Edward Lee Engel: Great. Thanks for that. And then, yeah, congrats on another recent progress.
Anthony Michael Denier: Thanks.
Operator: We'll conclude our question and answer session as well as conference call. Thank you all for attending today's presentation. You may now disconnect.